Operator: Good morning. My name is Tiffany, and I’ll be your conference operator today. At this time, I would like to welcome everyone to the Ritchie Bros. Auctioneers 2013 Q3 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. (Operator Instructions). Thank you. Peter Blake, CEO, you may begin your conference.
Peter Blake: Thank you, Tiffany. Good morning, everyone and thanks for joining us on our fiscal third quarter 2013 earnings conference call. Joining me on the call today are Rob McLeod, our CFO; Bob Armstrong, Chief Strategic Development Officer; and Steve Simpson, our Chief Sales Officer. Before we start, I’d like to make the Safe Harbor statement. The following discussion will include forward-looking statements as defined by SEC and Canadian rules and regulations. Comments that are not statements of fact, including projections of future earnings, revenue, gross auction proceeds and other items such as our potential addressable market, are considered forward-looking statements and involve risks and uncertainties. The risks and uncertainties that could cause our actual financial and operating results to differ significantly from our forward-looking statements are detailed in our SEC and Canadian Securities filings available on the SEC and SEDAR websites, as well as rbauction.com. Our definition of gross auction proceeds may differ from those used by other participants in our industry. It is not a measure of financial performance, liquidity or revenue, and is not presented in our statement of operations. Finally, we will be discussing adjusted net earnings, which is a non-GAAP measure. We define adjusted net earnings as financial statement net earnings, excluding the after-tax effects of sales on excess properties and significant foreign exchange gains or losses resulting from nonrecurring financing activities. A reconciliation is available in our MD&A for the quarter. Our quarterly results were made available early this morning. We encourage you to review our third quarter earnings release, MD&A and financial statements which are available on rbauction.com and will be available shortly on EDGAR and SEDAR later today. So, let’s get into our quarterly results discussion. Net earnings for Ritchie Bros. during our third quarter doubled compared to the same quarter last year to $16.4 million due primarily to the record Auction Revenue Rate or ARR that we achieved at 13.4%, ARR in the third quarter was 133 basis points higher than our previous quarterly record and 252 basis points higher than our ARR in the comparable period last year. This quarter’s record ARR was driven largely by our underwritten or at-risk business which continued to perform well as a result of our disciplined approach to contract management as well as a select number of packages of equipment that performed extremely well. Because of those packages we’re not counting on this high revenue rate to repeat. We continue to be disciplined and prudent about the underwritten deals we are securing and not at the expense of our GAAP growth. We’re still being very competitive in all of our markets but we’re chasing profitable GAAP, not GAAP at any cost. As you learned in our monthly GAAP disclosure in early October, gross auction proceeds for the third quarter were $790 million, a decline of approximately 7% compared to the same quarter last year. The year-over-year decline was due mostly to a difficult comparable period in 2012, you may recall that we secured a significant mining packaging in Q3 last year. As well, four auction locations that held auctions in the third quarter of 2012, held their auctions in October this year. As we have now tabulated GAAP for the month of October, I’m pleased to confirm October GAAP totaled $361 million up 29% from last year. On the 12-month trailing basis in the October 31, GAAP was $3.79 billion down 4% from a year ago. While we’re selling more lots, the average value of lots sold has decreased as a result of the mix and age of used equipment currently coming to market. I’d like to take this opportunity to remind everyone that our monthly and quarterly GAAP does and will continue to fluctuate considerably as we don’t manage our business for comparable periods. We schedule auctions throughout the year on dates that best cater to our customers and generate the best prices for them. During the first nine months of 2013, we held 166 industrial auctions compared to 160 in the same period last year, and the average GAAP per auction was $15 million compared to $17 million in the same period last year. The increase in auctions held and decrease in average GAAP per auction is due in part to holding more offsite auctions or those sales held that site other than our 44 fixed locations, which we often do in new markets or in areas we believe we can build further brand presence. While smaller, on average, offsite sales are a great way of exposing our industrial auctions to new customers in new or under-penetrated markets and are one of the tools that we used to continue our growth strategy. We noted on our last earnings call, we are acutely focused on enhancing the productivity of our Territory Managers and a sizeable portion of our sales force is still early in the Ritchie Bros. careers. The investments we made to provide new support tools, lead generation, competition structures and coaching opportunities are beginning to pay off. And we’re starting to see signs of positive developments. We’re continuing to recruit high quality talent but we’re also continually evaluating the capabilities and fit of new hires to ensure they are well suited for our business. During the quarter, we recruited several new sales team members, however also managed out a number of TMs who we believe were not showing the progress we had hoped for. At the end of Q3, we had 273 Territory Managers. We are currently building our plan for 2014 and expect to continue our focus on TM recruiting next year with about 5% to 10% sales force growth. With that brief overview, I’ll now comment on some more background on our sales performance and market environment. Not only Steve Simpson would address this topic, he is on the line and will hopefully be able to answer questions. But he’s on mobile right now and we wanted to be sure that the main part of our call was not going to be at-risk with technical challenges. Our sales team continues to be very busy and the investments we’re making are driving meaningful improvements and our sales capabilities. In fact, during the first nine months of 2013 we secured 5% more consignors and over 11% more locked than in the same period last year. While our supply dynamics continue to skew the average age of equipment going through our auctions to be older, we believe that a more normalized age mix will return to the equipment population in the coming periods and that age will become less of a headwind by the end of next year. The lack of OEM production, three to four years ago, is working its way through the system and the age of equipment being sold at our auctions are tracking as expected in 2013. We are selling proportionately more one to two year old equipment than three to four year old equipment because production levels were remarkably higher in more recent periods. We also believe that some equipment owners, particularly in the United States are hanging on to their Tier 3 equipment a little bit longer than they usually would, as they wait for Tier 4 final equipment to rollout and for the new emission standards to come into full effect. We expect this will help to create used equipment transactions in the coming quarters as contractors become more comfortable with Tier 4 machines and begin updating their fleets. The pricing environment continues to be pretty stable, with marginal improvement in certain categories, prices of good quality premium and low-hour construction equipment has experienced slight improvement supported by a very strong demand. Agricultural and transportation goods are also continuing to see solid demand, particularly for a low-hour or well-maintained equipment. In general, mining specific equipment is still experiencing softer prices. On the ag side, we have a couple of large agricultural equipment focused auctions coming up in both Canada and United States. And this area of our business is growing well for us. Pricing remains firm. The rental channel is something we are watching as we’re aware, fleets of many large rental companies are starting to age, especially in the U.S. While rental companies in aggregate represent less than 5% of our GAAP, we do see opportunity to capture sales from this channel over the next several quarters. As well as from deal owned rental divisions. We believe we will soon see some fleet turnover as these firms begin to re-fleet or grow their Tier 4 offerings. Regionally, Canada continues to perform well while in the U.S. we’re seeing some increase in construction activity mostly in the Western and Central U.S. Our European business units continue to perform well and in Australia we’re seeing good results and continue to be optimistic about our prospects there. As we mentioned before, we’ve been successful in growing the size of our sales force. Our focus is also on enhancing the productivity of our Tier 4 managers. Many of the sales support tools we’ve invested in are now rolling out and are being widely adopted by our TMs. This technology allows us to sort to industry data to more effectively qualify leads and packages of equipment. As well, a firm-wide rollout of sales and lead tracking software will take place in the first half of 2014. Overall, these tools are improving our efficiency and prospecting and customer targeting. These support tools along with a continued focus on sales training and coaching are shortening the time it takes to ramp new TMs. We’re seeing better productivity in TMs hired during the past year than we did in prior cohorts. With that, I’ll now turn the call over to Bob Armstrong to provide an update on EquipmentOne and with our other strategic initiatives.
Bob Armstrong: Thanks, Pete. We’re very pleased with the progress we’re seeing for EquipmentOne, our online equipment marketplace. Web traffic and still yield statistics have been trending up in recent months and it’s clear that equipment buyers and sellers are responding well to the model. We like the direction that EquipmentOne is having. As noted on prior calls, we are not expecting this business to have a material impact on EBITDA this year. And given the fact that EquipmentOne is less than a year old, we do not plan to provide guidance for future years with at this time. The opportunity for Ritchie Bros. brand in online equipment marketplace remains huge. That’s why we launched this marketplace. But it will be negligence especially about how it might become as how fast. Turning to our traditional auction channel, we continue to see opportunities to grow our core and reduction offering. During the third quarter, we had an auction in Finland, while we’ve always had a sales trend in Scandinavia, consignment opportunities this quarter reported only our first ever auction grade increment rather than moving that equipment to one of our other European auction sites. We were pleased with the result of that sale, especially the number of new customers we were able to introduce to auctioneers. And we look forward to holding future auction implement when we find the right future opportunities. Our second auction in China is scheduled to take place on November 21. We expect this auction will still be fairly smaller in size, but we’re taking a careful and methodical approach to growing our presence in this important market to ensure that our value proposition for our brand are stronger reputation are well understood by the consignors. We see immense opportunities to grow our footprint and presence in Asia, but similar to my comments regarding EquipmentOne, we are not factoring in contributions from these initiatives into our guidance. They are important strategic initiatives for Ritchie Bros. and they both have potential to be very large contributors to our future growth and profitability. However it’s still very early days for both of these strategies and it’s just too soon to stick-off how large the opportunities might be. I’ll now pass the call to Robert McLeod for a review of our financial performance.
Robert McLeod: Thanks Bob. Revenues for the quarter were $105.8 million an increase of 15% compared to Q3 2012. And this resulted in earnings doubling for the quarter compared to the last quarter last year. This increase in earnings demonstrated leverage inherent in our business model. As Pete mentioned previously, the earnings and revenue growth this quarter was driven largely by the 13.4% auction revenue rate we achieved. Included in this quarter’s results was approximately $400,000 of net income generated from gains on the sale of excess planning during the quarter. This compares to the net loss on property transactions in quarter three 2012 of $1.5 million. Our adjusted net earnings for the quarter what includes contributions from property sales was $16 million still $0.15 per diluted share. Also included in this quarter results and also included in adjusted earnings, were $2.3 million of pre-tax charges associated with the cost alignment plan we implemented at the end of July. When we organized some administrative departments and our teams associated with the capital infrastructure and also rationalize some operational procedures. This initiative more appropriately our cost structure, to better position us for future earnings growth. While we have reduced and avoided operating expenses to a level more appropriate for our sales growth, we expect the net neutral impact from these activities to our second half 2013 results due to the onetime charges. Our operating costs continue to be tightly controlled excluding the charges associated with cost alignment initiative. SG&A was flat with second quarter last year. Within this, our investment in our sales teams are increasing as planned and ops and administrative costs are decreasing. Direct expenses were in line with prior quarters but grew as a percentage of GAAP this quarter due to some smaller auction sales and more options being held offsite. We’re not concerned by this quarterly up-tick and expect our DB ratio will follow more in line with past quarters going forward. Over the last several years we’ve built our capacity up and we have a platform we need to support future growth. We continue to guide to CapEx of around $60 million this year but the lead Cap expenditures will drop below $50 million in 2014. After reviewing our forecast and expectations for the fourth quarter, and accounting for this quarter’s record ARR, we’re making some updates through guidance for 2013. We continue to believe GAAP during 2013 will come in, in the range of $3.6 billion to $3.8 billion. But our updated guidance on our auction revenue rate would be 11.5% to 12% for the fourth quarter. Related to this, we now expect revenue for 2013 to be in the range of $440 million to $465 million up slightly from previous guidance. And finally, given this quarter’s performance we’re revising the range of earnings before tax growth guidance for the year to mid-single digit growth from the year earlier, up from the previous guidance of flat to 5% growth. We still believe we’re on track to achieve our long-term target of 15% average EPS growth per year, at least 15% return on invested capital and EBITDA margins of at least 40%. With that financial overview, I’ll turn the call back over to Pete.
Peter Blake: Okay, thanks Rob. Before we open the line to questions, I’d like to take this opportunity to thank everybody in the investment community for their comments and support in relation to my decision to step aside in May of next year. Our board is actively involved in identifying appropriate candidate for the CEO role, both from an external and internal pool of candidates. And understand that this is one of the most important things that they will be tasked with. The board is determined to select a candidate, who has the right balance of leadership, ability to grow the top line and construct further Ritchie Bros. I intend to be part of that process to assist in aligning a great new leader for us. We’re confident that we have the right strategies in place to enhance shareholder returns. The cost alignment initiatives we undertook during the third quarter have enabled us to more effectively leverage our global platform while continuing to provide our customers with the best-in-class service. New sale support tools were recently launched and have already gained traction amongst our Territory Managers contributing to improve productivity and the capital commitments we had made to both our auction site network and infrastructure are now tapering off. These developments coupled with changing supply dynamics and our dominant market position underpins our confidence that Ritchie Bros. is very well suited for long-term growth. We have an amazing group of people at Ritchie Bros., I think everyone here should be very proud of what we achieved and the contributions to our corporate performance. So, with that, I’d like to open the line for questions from the analysts and institutional investors. As with our previous calls, we ask that you please limit yourself to two questions as we have a lot of participation on the call today. So, Tiffany, can you please open the lines.
Operator: (Operator Instructions). Your first question comes from the line of Nate Brochmann with William Blair & Co. Your line is open.
Nate Brochmann – William Blair & Co: Good morning everyone.
Peter Blake: Good morning, Nate.
Robert McLeod: Good morning, Nate.
Nate Brochmann – William Blair & Co: One, in fact couple of things. One, the focus on the Territory Managers obviously we know that kind of new programs put in place since last year. And certainly the re-focus on hiring and training seems to – in there as well as the investment in new tools seems to be incrementally showing some dividends. But yet, like the number of Territory Managers are still down a little bit from last quarter. How do you guys foresee the ramp going up and I mean, is that more a voluntary or is that more kind your decision in terms of why those numbers are still down. And what’s going to be the process going forward to get those Territory Manager numbers up in total?
Peter Blake: Hi Nate, its Pete here. Yes, our focus for sure is on hiring and finding the right quality of candidates. And we’re being a little bit more regimented in our view of whether they’re performing or not. So, part of that is our – at our will to determine whether we up or down those numbers. All, so you know the sales competition structure we put in place, as all of those sales managers are tied their compass, tied to having productive folks on their team. So, part of what we have is the right behavior forming with the revised compensation structure that only started this year. But we’re pretty focused on the map, and we know that more territory managers bring more lots and more lots bring more revenue and more revenue brings more earning. So it’s pretty simple math for us. And we’re pretty focused on making sure that that execution continues. I think we’ve done a nice job this year. There is a bit of a tweak in the quarter, we exited some folks that we didn’t think were performing at the right level. And finding new hires in the latter part of the year, traditionally is a little bit more challenging because folks like to stay in their current roles, usually before they make a change so we find our hiring time but most appropriate hiring time and the optimum time for us tends to be first half of the year. But overall, we’re acutely focused on making sure we execute on that. And I think we’ve done a nice job for the last while and we’ll continue to do that.
Nate Brochmann – William Blair & Co: Okay.
Peter Blake: Steve, Steve, do you have any comments on that or?
Steve Simpson: Could you hear me, Pete?
Peter Blake: Yes, we can hear you.
Steve Simpson: Okay. Yes, no, I think you said it all Pete. And I mean, at the end of the day it’s – we do our very best to ensure we bring the best guys possible, best people possible into the mix. But sometimes it’s until the rubber hits the road and the guy get engaged in the market and understand what it takes to go out and be successful as a Ritchie sales guy in the marketplace. It’s, I think we started seeing things that we don’t see in the interview, in the onboarding process. And it is what it is. But we’re – as Pete said, we’re acutely focused on growing our sales force and growing it with the very best people we can.
Nate Brochmann – William Blair & Co: Okay, thanks for that. And then kind of follow-up to that. Obviously, we’ve seen some incremental investment on the margin this year with some of the technology to make those folks more productive. As we go in the next year, will there still be some ongoing investment in terms of just technology or any productivity improvements? And then if we are successful in terms of ramping up in the first half of the year, the total TM count, would that be an incremental headwind on expense before we start seeing that flow through in terms of the benefit or are the folks that we’re now more productive this years with that offset, their incremental investment in new hires next year? Thanks.
Bob Armstrong: Hi, Nate, with respect to the investment in technology there is a number of new tools that would hit the road this year and some are actually going to hit the road in the coming three or four months. So we don’t want to put too much on the plate at one time, there is always much to absorb. But in fact there is quite a bit of technology investment coming over the next several years. The largest impact for the sales team to your question would be, the roll-out of salesforce.com, sales force renovation platform will roll out next year. So that’s the big thing when it comes to technology wise. And I think I’ll let Rob McLeod to second part of your question.
Robert McLeod: Good morning, Nate. The second part of your question was in regards to the cost of that investment in new GMs. And that’s kind of driving down our performance and whether that’s offset by the productivity of new GMs that are being here for 12 months, 18 months. And for sure I think the depending on the quantum of TMs that we hired 12 months ago versus the quantum that we would hire in the first half of next year, I think they would – the productivity gains from the guys that have got hired 12 months ago would out-wave any cost associated with new TMs. But also remember those new TMs that we hire depending on the territory that they’re in, are likely just of a pure cash basis for that TM. They’re probably profitable pretty quickly. They’re just not as profitable as we want them to be or as productive as they will be in the future.
Nate Brochmann – William Blair & Co: Okay. It makes sense. Thanks a lot.
Peter Blake: Thanks Nate.
Robert McLeod: Thanks Nate.
Operator: Your next question comes from the line of Peter Prattas with Cantor Fitzgerald. Your line is open.
Peter Prattas – Cantor Fitzgerald: Good morning guys.
Peter Blake: Good morning, Peter. Welcome aboard.
Peter Prattas – Cantor Fitzgerald: Thanks very much. Clearly your Auction Revenue Rate was fantastic this quarter and I am wondering here, are you simply getting better at assessing which at-risk business to take on and do you attribute that to you making better use of your informational database?
Robert McLeod: Hi Peter, Rob McLeod, I’ll take a stab at that one first maybe, Steve wants to jump in afterwards. We are as Pete said we’re being more disciplined in our approach to our at-risk business. And the, and that comes obviously shows that in our performance of that risk business and then in the performance of our revenue risk. And are we using our information better? Perhaps, but it’s a – I guess the information is still there but it’s probably more in the environment that we’re in and that stable pricing environment is probably more tuned to better results in our at-risk business as opposed to in the past you’ve heard us talk about chasing the market upper, chaser the market down in a relatively stable environment that we’re in right now. It’s for us a little bit more straight forward in regards to assessing the at-risk packages that are presented to us. Steve, do you have any color on that one as well.
Steve Simpson: Yes, and I think the other thing is for sure we’re – and this question will probably come out so I think I’ll just say it right now as it relates best walking by GAAP because our rates are so high this quarter. We continue to be extremely aggressive on all the right deals as the guy has mentioned. And I think in many cases, now I think one of the other things that we’re doing is really analyzing the risk positions we’re taking and ensuring the risk and reward balance is right for the risk that’s in hand. And I think that this quarter was a perfect example that we got ourselves into a few substantial sized deals that definitely has the risk attached to them that was – there wasn’t a lot of history on some of the stuff and some values. And we elected to move forward with them and had a really, really pleasant result. And it’s just really having to look at the market and seeing what’s out there and know what you’re doing and responding accordingly. So, I think that’s about all there is to say on the risk part of the business it’s performing well. And we’re focused on it. And it’s refreshing to end up the quarter the way we have for sure.
Peter Prattas – Cantor Fitzgerald: Thanks for that and my second question is related to online. It looks like the sales to online bidders declined year-over-year for the first time in a while. And also on the EquipmentOne side, the auction proceeds were relatively flat year-over-year. So I am just wondering here, do you feel that you are losing any traction at all or is there something else that is causing the pause here?
Bob Armstrong: Hi Peter, its Bob. We could replace the numbers there, it might take with the online activity is up dramatically year-over-year in terms of percentage of registrants and net record and running ourselves (inaudible).
Peter Blake: No, I think we clicked over $1 billion of online sales at the earliest point this year in our history which was sometime in September. Normally, I think prior year that’s been in December when we got to the $1 billion mark.
Bob Armstrong: Yes.
Peter Blake: So, I think we’re pretty comfortable Peter that the online is performing well and Bob, do you want to comment on Q1.
Bob Armstrong: Absolutely. Within the numbers, yes, I think I should repeat, the online side has just shown continued growth it doesn’t mean it is lack of things, we’ve been able to track while people deployed a lot on grades. And with respect to EquipmentOne Peter, the total volume growth is relatively flat with last year, it’s okay. I mean, obviously it would be nice if it was even bigger. But currently with nine months old and we’re not concerned by a team relatively flat with last year that’s fine for us.
Peter Prattas – Cantor Fitzgerald: Okay. Thanks very much guys.
Peter Blake: Okay, thank you.
Bob Armstrong: Thanks Pete.
Operator: Your next question comes from the line of Hamzah Mazari with Credit Suisse. Your line is open.
Hamzah Mazari – Credit Suisse: Good morning. Thank you. A question on whether you are seeing any change in the competitive behavior from brokers and dealers out in the marketplace. It seems like you are doing much better on the at-risk side, curious to see if you have seen any lightning up of the competitive environment from some of the brokers and dealers.
Steve Simpson: I’ll take that, its Steve Simpson here. Yes, the brokers and dealers absolutely continue to be competitive force there is no question about it. I would say to you it’s not really anything other than business as usual. But when you say that business as usual, the market is very tight for late model low-hour premium type assets that suspect well. So there are more and more people that are chasing those including ourselves. So, it has for sure heated up but I don’t think it’s anything out of the ordinary given what the market is for the quality asset at the moment.
Hamzah Mazari – Credit Suisse: Okay, and just a bigger picture question just to follow-up. How do you folks think about the impact of less equipment moving overseas combined by the fact that most OEMs are cautious in terms of producing to end market demand after having overproduced? Do you see that impacting your business at all, how should investors think about that? Thank you.
Steve Simpson: Pete, you want to take that one?
Peter Blake: Yes, sure Hamzah, its Pete here. We’re not – the part of the less equipment moving overseas is really a shift back to the U.S. And if you remember Hamzah back in ‘08, ‘09, there, the U.S. dollar was lower, we had lot of Australians coming to the United States where the activity in Australia was very, very brisk. And the U.S. was on the bit of a downslide. So lot of equipment sort of proportionately higher than normal left the U.S. in ‘08, ‘09, 2010. And that sort of pendulum has swung back so that there are not as many the U.S. dollar is a little stronger. Those other markets are not as brisk. And there is a demand in the U.S., the construction activity in U.S. is up and we’re seeing some res, non-res activity. You can watch other participants and what they are doing with their data in terms of what’s happening in the U.S. So, we’re seeing some very positive things in the U.S. right now that would cause greater demand and therefore greater end sales in the U.S. overall. So, I don’t – I’m not actually worried about it. I think our model is well positioned to be able to serve the market, whatever the market’s needs are in the global footprint, super-important as everything changes in the world from yesterday until today to tomorrow. So, I’m not particularly concerned about it at all.
Hamzah Mazari – Credit Suisse: Okay, great. Thanks a lot.
Operator: Your next question comes from the line of Nick Coppola with Thompson Research. Your line is open. Nick Coppola, your line is open. Your next question comes from the line of Jamie Sullivan with RBC Capital Markets. Your line is open.
Jamie Sullivan – RBC Capital Markets: Hi, good morning.
Peter Blake: Good morning.
Robert McLeod: Good morning.
Jamie Sullivan – RBC Capital Markets: I just wondered if you could give some color on kind of the fourth quarter in GAAP. You mentioned October was up almost 30%, I think. You talked about the productivity gains. Maybe you could just give us a little bit more color because sort of the range is leaving us around down 10% to up 10%. Sorry about that. We have five weeks left in the quarter. Just wondered do you expect growth, what are you seeing over the next few weeks here?
Robert McLeod: Jamie, its Robert. Yes, you’re correct five weeks or so but not a lot. Those are big five weeks. We have some majority of our volume for sure is still ahead of us in the fourth quarter. We are still signing contracts. And with the huge volume of auctions that occur in the first two weeks, first three weeks of December, there is a lot of time left to be signing equipment so that’s why we’ve – we haven’t narrowed our guidance for GAAP.
Peter Blake: Just to give you some map Jamie. We have 58 auctions in 12 countries in the next six weeks.
Robert McLeod: So, and also I think it’s important for, take Pete’s comment about our over GAAP that’s up compared to last year. And to take that with that single data point with a bit of a grind salt, because you’ve seen it in prior months where it’s up significantly one month, maybe the next month up a bit and then third month down a bit. And so your significant fluctuations in those monthly results. And yeah, we’re not prepared to provide specific guidance on quarter four GAAP.
Jamie Sullivan – RBC Capital Markets: Okay. Then I guess just on the, you talked about the sales headcount what was driving that. Maybe you can just couch it. Where is turnover today and over the longer term, what is kind of a band where you would like to be running or seeing the turnover levels at?
Peter Blake: Hi Jamie, its Pete here. Yes, sales headcount, if we’re at 273 right now, one or two up or down can have percentage fluctuations that are big below the truth but the real trend. We’re not overly concerned about the attrition rate, the attrition rate actually come has come down year-over-year. In fact especially in the voluntary which is heartening. I think what we created this year with our sales comp program has been really well received by our Territory Managers as being clarity and simplicity and they’ve bitten into this in a big way. And that’s I think helped focus our revenue and our revenue performance because it’s driven on revenue. So, the headcount for us is important, I think Nate’s comment at the opening question at the opening was square on about PMs and we are acutely and I can say the word in capital letters, ACUTELY focused on making sure that we hire the right people and train them to get them productive and going forward. So the strategy is not super complicated, it’s really more about execution. And the execution of a few various simple things about at-risk business, about Deputy M hiring, about coaching and getting the right managers in place and supporting them and it’s starting to pay dividends now. And that’s heartening for us.
Jamie Sullivan – RBC Capital Markets: Thank you.
Robert McLeod: Thanks Jamie.
Operator: Your next question comes from the line of Scott Schneeberger with Oppenheimer. Your line is open.
Scott Schneeberger – Oppenheimer: Thanks, yes. Could you address your process of field communicating with corporate with regard to at-risk business and controlling ARR? And then if you could get us any quantification or feel for how much of a headwind on volume or GAAP growth your success in controlling ARR, what impact that might have been? Thanks.
Robert McLeod: Hi, it’s Rob McLeod. I’ll just quickly walk you through our process for the evaluating and moving forward on our underwritten business. And it’s absolutely a collaborative effort where the – our sales force will source the package of equipment by their relationships with that equipment owner. They will evaluate the needs of that customer. And part of that evaluation is potentially during an inspection of the equipment so that an appraisal can be done on each piece of equipment. That appraisal is done by normally by that sales person and their direct managers in the field as well as evaluation and appraisal of that equipment by our pricing team that the majority of whom are here at our Vancouver office. And then depending on the size of the package or the size of the deal, there is very clear and strict levels for approval. And so if anyone decides that it needs the approval of the Vice President – the Field Vice President, plus one of the Senior Pricing Analyst here in the head-office or is it need the Senior Vice President’s approval or does it need Steve Simpson’s approval plus in combination with other approvals from the pricing team here in Vancouver. And so it’s very – it is rigorous and that concept of having approval limit has always been in place. And we’ve always been very diligent about following them. So there is not – there is not rogue sales people or rogue deals having up there, they’re hesitant and they’re running.
Peter Blake: And Scott, your second part of your question I didn’t quite understand. Maybe you can repeat it?
Bob Armstrong: Well, Steve’s trying to answer, really.
Robert McLeod: Yes, the headwind that Scott, I presume the second part of your question was about the headwinds of this control and scrutiny falls on that at-risk or underwritten business. And it doesn’t cause a headwind, if you’re a sales person you’re going after every deal and you are presenting every opportunity you get and going through the process to make it happen as best it can. And so that’s how rigor review on our underwritten packages that are presented to us, doesn’t quite attend with in terms of fewer deals being presented or deals being – good deals being turned down that isn’t happening and we’re not walking by deals or walking by GAAP.
Steve Simpson: Hi Rob, could I just make a comment?
Robert McLeod: Yes.
Steve Simpson: Just one thing, I mean, our process for sure is thorough and rigorous no doubt about it. But make no mistake either, I mean, it’s not – we’re still nimble and opportunities stick out there and work sure on underarm deals very, very quickly when we need to react quickly through whatever reasons are coming at us. So yes, we are doing all the right things but we’re – again I don’t want anybody in the market to think for a second that we’re not doing everything we have to do to ensure we get those deals done.
Scott Schneeberger – Oppenheimer: Guys, thanks. That’s helpful. I know that was a two-parter on the first one, but if I could sneak a follow-up. The – it’s just, I think, Peter, you had mentioned you are seeing some opportunity and perhaps getting some rental business. I realize seasonally this is the time of the year and you guys have mentioned 58 auctions before year-end. Was that a seasonal comment or is there something structural that you see as an opportunity? Thanks.
Peter Blake: I think it’s probably bit of both. I think the structural side of it is, the rent – when you guys think about rental, it’s not just the big guys like the United’s and the others in the world. Every dealer fleet out there and the dealers are very, very intelligent business people. And they’ve probably enhanced their rental fleets over the last three or four years to support the demand for the caution that the market requires for people who want to invest in a pile of money. So they’ll go and rent one or two assets or three or more. And you can see that those fleets are getting aged and they’re ready to turn. So that’s an opportunity for us to continue to focus on ourselves. It’s a bit structural that way and that it’s really responsive to the economic conditions of the time, particularly in the United States I would say. So, for us it’s just more potential business. We go out there and we compete every day and we got to convince people we’re going to add value with our services. And we get out there and bang on doors and that we’re just seeing that that’s obvious – an obvious opportunity. All that said, it still accounts for less than 5% of our GAAP so it’s not like we’re beholding to it. And it’s an opportunity we just want to continue to form relationships and exercise with relationships that we have formed exercise those opportunities that we see coming out. And so that structural shift, a lot of people lowered up with Tier 3 equipment prior to the changeover and now that Tier 4 is in. And Tier 4 is becoming accepted, people see it. The engines are working fine. They are productive they’re probably more productive than the older ones. Some of the Federal work that’s underway right now, especially the non-res stuff, California, interestingly enough looking at what they’re doing with regulations there, of acquiring contracts just to have certain level Tier 4, interim in Tier 4 final equipment in their fleet. You’re going to see a continued evolution of that over the states in the U.S. So that will continue to help support people making the leap into the next level of technology. And that’s good for us because it creates transactions.
Scott Schneeberger – Oppenheimer: Thanks.
Operator: Your next question comes from the line of Bert Powell with BMO Capital Markets. Your line is open.
Bert Powell – BMO Capital Markets: Thanks. Pete, just wanted to look at the average age commentary that you made. Is that system-wide or are there markets where you’re starting to see the average age come down?
Peter Blake: A good question, Bert. And we look at Canada and the U.S. as two interesting markets because it happens for like 75% of our fleet. You see, and Canada behavior a little bit different than the U.S. U.S. guys tend to turn their equipment earlier. And in Canada they tend to hold on to it little bit longer, so there is little bit of a flatter curve in Canada than the U.S. but overall it’s not dramatically different. So I wouldn’t say that has any material impact on where we’ve seen the market behavior happen in the last three or four years and where we see it coming. We see, today, we’re selling more one – proportionally more one and two year old equipment this year than we had last year and the year before. So you can see it working its way to the system. And we believe it will become a lessening headwind and in fact, neutral would be great for us because we’ve been fighting this thing for about four years now. But it is where it is, so we just – again, we sell what’s for sale. And what’s for sale today is evolving to be more familiar than we had seen in the past few years with the ageing of iron coming to market.
Bert Powell – BMO Capital Markets: So we would expect as we roll through ‘14 that the average age should move down a little each quarter as we start to churn through the GAAP.
Robert McLeod: Yes, I’d love to give you a precise date because you guys love those charts and graphs. But all we can say is that we’re seeing signs of the level of OEM production that declined in 2009 and ‘10. We’re seeing that work its way through the system now. And we’re starting to see signs that that will abate. I can’t give you exact date but it’s abating.
Bert Powell – BMO Capital Markets: Okay, thanks for that. And, Rob, just on the G&A, so the 2.3 charge, I guess, if you will, as in the general admin for this quarter. Can you just give us how you are thinking about the G&A number going forward? Is the focus on cost going to enable you to get that down as a percentage of GAAP or as a percentage of revenue? Just help us think ‘14 G&A through here, based on what you are doing today.
Robert McLeod: Bert, we haven’t completed our plans for 2014 so I can’t give you – give you an answer even if I was giving 2014 guidance. But yes, for sure, obviously the plan and the model is leverage. And the actual focus is on the top-line which is growing, evolving the business, which is gross auction proceeds and having a well performing commission rate or auction revenue rates. That for sure is what is going to drive the leverage in the business while utilizing the capacity that we already have in our – particularly obviously our physical capacity and auctioneers. Absolutely we have capacity and that’s part of our infrastructure. But as your gross auction proceeds or your volume of business grows, you do obviously for sure we will increase our sales team next year in the – I think it was Pete’s commentary of expectation of 5% to 10% growth in our sales team. And that’s partly – sorry, part of the impact of the increase in volume is also some increase in operating and administrative expenses. So the offering teams actually are at the auction sites and the administrative team processing all that activity. And so, as your number of consignors, number of loss, number of buyers, number of rigorous increases that does create additional work. Absolutely the expectation is that that growth in administrative and operating expenses will be less than the growth in gross auction proceeds or less than the growth in our number of vaults and number of consignors.
Bert Powell – BMO Capital Markets: Okay. And then, just lastly, a bit of a maintenance question. The tax rate in the quarter, you know, historically there’s always one quarter like this. Is there anything to think that it shouldn’t be in the 29%, 30% range?
Robert McLeod: Yes, sorry, great, great point Bert. Yes, the tax rate in quarter three was particularly high. Absolutely reflecting the profits earned in high tax jurisdictions which is the United States by a long measure, the highest tax jurisdiction. In addition, just the mix of where our auctions occurred in quarter three and there was probably less activity in low grade tax jurisdictions in quarter three this year compared to that. So those things we combine to have a relatively dramatic impact on our quarter three tax rate going forward. Yes, that your tax rate in the 29% to 31% range something like that.
Bert Powell – BMO Capital Markets: Okay.
Robert McLeod: Certainly what it has been.
Bert Powell – BMO Capital Markets: Okay. Thank you.
Operator: Your next question comes from the line of Ross Gilardi with Bank of America. Your line is open.
Ross Gilardi – Bank of America: Good morning, guys. Thank you.
Peter Blake: Good morning, Ross.
Ross Gilardi – Bank of America: I’m wondering how should we think about your revenue, just kind of your longer term revenue growth outlook in terms of what the main driver is going to be. Is it going to be more gross auction proceeds or is it going to be more auction revenue rate? Like how should we put the 11.5% to 12% for this year into context in terms of the long-term outlook? Do you think you can continue to improve from that?
Robert McLeod: Thanks Ross, yes, great question. And our model is all about growth in the business and growth in the business is really growth in gross auction proceeds. So we expect revenue growth to come from growth in volume, growth in the business. We don’t – we’re not expecting to have an ever increasing revenue rate.
Ross Gilardi – Merrill Lynch: Okay, thanks guys. And then, it’s pretty clear that the OEMs are struggling right now with weak new construction equipment volumes despite the pickup in the U.S. housing market. I’m wondering what do you think the root cause of that is, is it the move to rental, is the fleet too new, is it foreign competition. If anything it feels like many of the OEMs need to cut production rather than increase production of new. I’m just wondering how that ties into your comments on seeing – hopefully seeing more late-model used equipment coming through in coming years.
Robert McLeod: Hi Ross, I guess what I was listening to a few calls recently the – absolutely the overriding commentary was about a mining equipment. And also that the – when you say, they bring mining equipment from construction equipment, even inside construction equipment, some of the bigger units or bigger models in fact construction equipment are actually impacted by the mining, they’re frontline mining equipment. And so my take on that was that within the construction equipment, the mining aspects of that are – was hurting it. And the mid-to-smaller size mining – sorry, construction equipment is actually doing okay.
Peter Blake: I think yes, Ross, its Pete here. We saw Cat release retail dealer stats the other day, their three-month rolling average. And they report x percent down overall relied primarily as Rob said, mining in Asia related issues for them. I think the construction equipment trend in North American retail sales was up 4% year-over-year. We look at U.S. construction spending up around $915 billion now which is up from the sort of low troughs of the high-7s. We’re seeing signs of residential stuff that comments from other players about the non-res about 18-month delay of non-res activity. We’re seeing companies that are in the end construction market like Granite, people like that that released and they’re talking about big backlogs and increased activity and improving margins. So, those are all sort of little nuggets or signs that you’re seeing that things are modifying a little bit. So you say, OEMs are struggling with weak sales, Hewlett-Packard they came up with decent number truck sales are good in North America. The ag guys are booming along, they’re probably little bit more worried about next year, the year after with commodity pricing dropping off. But we’re seeing some decent activity with the ag and lots of production there. So, we’re quite buoyed by the fact in this Tier 4 issue that’s kind of behaviorally shifting into create more sort of comfort I guess that people see it’s not the first item off the production line. These are working out there, the fuel is available. Everyone knows what DES stands for now, they know. So there are lots of things that are creating more familiarity and comfort within the construction community and the transportation community and the ag community that really add up for us to be more promising than we’ve seen in the last long while.
Ross Gilardi – Bank of America: That’s great, guys. Is there any way to quantify what sort of mining and ag mean to your overall mix now in terms of percentage of auction proceeds?
Robert McLeod: Hi Ross, yes, either want them, it isn’t going to be significant enough to have a big impact on our results. I think and probably in the last – in this quarter three 2012, we had a lot of mining year. And we spoke about the impact that that left.
Ross Gilardi – Bank of America: All right. Okay, thanks very much.
Robert McLeod: Thanks Ross.
Operator: Your next question comes from the line of Richard Linhart with Morgan Stanley. Your line is open.
Richard Linhart – Morgan Stanley: Great, thank you. Just following up on that question about mining and ag. Can you comment about energy and give us some color in the U.S. and in Canada what kind of impact you’re seeing from the energy market?
Peter Blake: Steve, you want to take that. Steve?
Steve Simpson: Can you hear me, Pete?
Peter Blake: Yes, yes.
Steve Simpson: The energy market is, I mean, it’s very interesting right now. We’ve got several auction sales that are coming into play right now more oil and gas type related stuff in three or four different locations. So we’ve right now, we’re seeing – we have a bit more of this on our plate than we typically do. So it’s going to be interesting to see how that evolves. And then of course the other energy markets related to coal and others – I mean, as the coal market is continuing to be very, very challenging and it doesn’t appear for sure in the U.S. that that’s going to change anytime soon. So it’s definitely a mixture of what’s going on right now and it’s a bit hard to read on some of the oil and gas stuff as I said, because we’re – we haven’t had a lot of that stuff run through the auctions off late. So, we’re certainly going to be a bit smarter on what that looks like as we roll through the end of the quarter.
Richard Linhart – Morgan Stanley: Do you have a sense – if you take the energy category and all of the related things. Obviously there is a lot of trucking and various other equipment that may not be specifically made for energy, but ends up being used in energy. Do you have a sense of what the overall impact is on the company?
Steve Simpson: As far as the percentages go, I mean, I don’t have a good feel for it. I mean, I would think the amount of energy stuff we sell in percentages, I’m thinking there is probably something like 10% or 15% of what we sell.
Robert McLeod: Well, I would say that would be awfully high. Well, yes…
Richard Linhart – Morgan Stanley: It depends on what you put into it Rob?
Robert McLeod: Well, exactly. There are some excavators, for sure it’s energy, it’s also construction it’s also highway development. And so yes, I think, I think to be – it is almost too challenging to say what is an energy, piece of equipment. For sure we’re enjoying the activity in the energy marketplace right now with our auctions for example coming up in North Dakota. And so we’re enjoying that whether that is well, it probably isn’t energy specific item, it’s probably relatively a little bit more generic.
Richard Linhart – Morgan Stanley: Got it. Okay, great. Thank you very much.
Peter Blake: Thanks Richard.
Robert McLeod: Thanks Richard.
Operator: Your next question comes from the line of Theoni Pilarinos with Raymond James. Your line is open.
Theoni Pilarinos – Raymond James: Hi guys, nice quarter.
Peter Blake: Thanks Theoni.
Robert McLeod: Thanks Theoni.
Theoni Pilarinos – Raymond James: I just had a quick question on your free cash flow with your CapEx coming off pretty significantly next year. We should expect to see some cash pile-up. And what were your plans to do with that?
Peter Blake: Well, we’re going to have a big party actually, no, I was just kidding.
Theoni Pilarinos – Raymond James: Am I invited or?
Peter Blake: Sure.
Robert McLeod: Yes, you put pressure. Yes, the cash piling up is, I’m sure our bankers would be, loving to hear that. But the expectation in 2014 is we do have some long term debt that is coming due. So we will be repaying that in the early 2014. And the excess cash trapped is that when you take out our CapEx program and you kind of fasten in our kind of run rate for our dividends. You’re not going to have stacks of cash sitting there that would warrant any other special distribution or special program for returning it. That’s probably going to be more of a 2015, 2016 program.
Theoni Pilarinos – Raymond James: And what is the amount that’s coming due in early ‘14, do you have that note or?
Robert McLeod: Yeah, I’ll put up our head estimates for $30 million.
Theoni Pilarinos – Raymond James: Okay. All right, so nothing – nothing eminent here then?
Robert McLeod: It’s not yet, correct.
Theoni Pilarinos – Raymond James: Okay. Thanks. And I just missed a one-time cost that were in SG&A this quarter?
Robert McLeod: In SG&A, $2.3 million.
Theoni Pilarinos – Raymond James: Okay. All right, that’s my two. Thank you.
Robert McLeod: Great. Thank you.
Operator: Your next question comes from the line of Neil Frohnapple with Longbow Research. Your line is open.
Neil Frohnapple – Longbow Research: Hi, good morning guys, congrats on the nice quarter.
Peter Blake: Thank you.
Neil Frohnapple – Longbow Research: Would you guys be able to provide more color on the few deals you mentioned that just did ARR in the quarter. I’m just trying to gage if use equivalent price is accelerated on these deals? In light of your commentary that prices are relatively stable or again if you guys were just more disciplined on pricing?
Robert McLeod: Hi Neil, its Rob McLeod. And when we talk about – we never get any details of A deal. But in general a good deal and kind of the characteristics of a good deal are on the complete dispersal. A deal where the equipment is located in various parts of jurisdiction for example in a number of different states in the United States, that has a nice overlap with our auction sites. And so, our auction sites are of competitive advantage to us as we’re going into that deal and negotiating it. The other thing that’s a major sized deal is that there is a native variety of equipment and so lots of yellow wire. In addition, lots of what we call smalls that those small pieces and ancillary pieces of equipment that’s our frankly a challenge to handle logistically. And many participants in the marketplace don’t want to handle them. We are more than happy to handle them. We have the teams and we have the auction sites to be able to take care of that part of the business for our customer. And again, that can be absolutely one of our competitive advantages to negotiating that deal.
Bob Armstrong: Neil, its Bob. One more thing as well, Rob identified what entities agreed for Ritchie Bros. And that’s really where the asset was in Q3. It wasn’t so much for the equipment prices for pulling up on it, so that part of your question was curious of did we do well because prices improved maybe up slightly. That really wasn’t the answer. We have really worked with great success with. But looking at the results fixed our model and hopes to bring value to the consumer.
Neil Frohnapple – Longbow Research: Great. Thanks for the color. And Bob, is there any way to strip out the legacy asset nation GAAP to get a sense of the EquipmentOne performance in the quarter, because I’m assuming that $20 million GAAP included – yes, those legacy deals last year as well as this year?
Bob Armstrong: No, it really isn’t. We’ve actually completed blended together the sales force for deals into the strategic accounts team of Ritchie Bros. And so, we’re getting – we’re putting volume through the auctions and EquipmentOne from legacy asset nation customers. And we’re seeing volumes through the auction of EquipmentOne from legacy Ritchie Bros. customers. And we’re seeing volume to build from new customers that our team is detracting. So we’re kind of at the point where we need to do apples-to-apples.
Neil Frohnapple – Longbow Research: Okay. Great, thanks very much guys.
Peter Blake: Thanks Neil.
Bob Armstrong: Thanks Neil.
Peter Blake: It seems we probably have time for one more question and then we’ll wrap it up.
Operator: Your last question comes from the line of Gary Prestopino with Barrington Research. Your line is open.
Gary Prestopino – Barrington Research: Yes, most of the questions have been answered. I was going to focus on this auction revenue run rate. I guess what I would say is that, talking about some deals, but you’ve also improved your process. Would the floor be now about 12% auction revenue run rate because as I look across the first three quarters of this year, it looks like the lowest has been 11.96%?
Robert McLeod: Yes, Gary, probably a floor of 12% would be quite optimistic. And so we haven’t actually changed our kind of annual guidance or annual expectations on our range for our auction revenue rates. And because it is as you’ve seen over the last few years, it does fluctuate. And it will fluctuate in the future for sure.
Gary Prestopino – Barrington Research: Okay, thanks.
Robert McLeod: Thanks Gary.
Peter Blake: Okay. Thanks everyone. I appreciate your attendance and questions. And we’ll look forward to chatting to you in February when we do our year-end, okay. Thanks guys. Thanks Tiffany.
Operator: You’re welcome. And this concludes today’s conference call. You may now disconnect.